Daniel Fairclough: Good afternoon, everybody, and good morning to those joining us from the North American market. This is Daniel Fairclough from ArcelorMittal Investor Relations. Thank you for joining us today on this conference call to discuss the fourth quarter and full year 2013 results. First, I'd like to remind you that this call is being recorded. And we will have a brief presentation from Mr. Mittal and Aditya, followed by a Q&A session. The slides for the presentation are available for download on the website. The whole call will be limited to 1 hour. [Operator Instructions] And with that, I will hand over to Mr. Mittal.
Lakshmi Niwas Mittal: Thank you, Daniel. Good day to everyone, and welcome to ArcelorMittal's Fourth Quarter 2013 Results Call. I'm joined by this call today of all the members of the group management board. Before I begin the presentation, I would like to make 3 key points. My opening point is improvement. At the beginning of this year, I stated my opinion that our results for the second half of 2012 would mark the low point of this cycle. The results for this quarter, the second half and indeed 2013, as a whole, all show clear improvement on an underlying basis. Our fourth quarter shipments are up 4.5% year-on-year, continuing the trend we observed in the third quarter. And looking at our EBITDA, the year-on-year comparisons show the continued contribution from our cost optimization efforts and mining expansion. My second point is progress. We have made progress in several areas in fourth quarter. We successfully ramped up ArcelorMittal Mining Canada capacity to 24 million tonnes per annum rate. We announced the acquisition of ThyssenKrupp Alabama to expand our footprint in the growing NAFTA automotive and energy steel markets. And we have reduced net debt to the lowest level since the merger in 2006. My final point would be on the outlook. While not without risk and some uncertainties, the leading indicators for our business are positive. As a result, we expect our shipments to increase around 3% in 2014. Together with our continued focus efforts on cost optimization and the growth in our mining business, this should support higher EBITDA in 2014. Moving on to the agenda on Slide #2. As usual, I will begin today's presentation with a brief overview of our fourth quarter and year end results, followed by an update on our -- of our recent development. I will then spend some time on the outlook for our market before I turn this call over to Adit. He will go through the results for the fourth quarter in greater detail and provide an update on our guidance for 2014. Turning to Slide 3, I will start with safety. The loss time injury frequency rate in 2013 improved to 0.8x. On the left hand side, one can see the clear progress we have made in recent years, reflecting our focus on this priority. In October 2013, this effort was recognized by World Steel Association, where 2 of our unique strategic performance excellence awards, Lazaro Cárdenas in Mexico and Unicon in Venezuela. As a group, we are pleased to see our focused efforts being reflected in our improved safety performance. While our fatality frequency rate decreased by 18% approximately in 2013, our ultimate objective is 0 harm. The specific focus in 2014 will be on contractor performance, as well as ongoing main causes for the 2015 [indiscernible]. Turning to 2013 highlights shown on Slide #4. As I mentioned in my opening remarks, 2013 has seen an improvement in our underlying profitability. Steel shipments increased marginally and there was a 4% decline in average steel prices. Yet on a comparable year-on-year basis, there was a clear 10.7% underlying improvement in EBITDA. This was driven by the 22% increase in market-priced iron ore shipments and the benefits of our cost optimization efforts, while we did report a net loss in 2013 year of $2.5 billion, which was impacted by exceptional items totaling $1.7 billion. More importantly, in my view, we were free cash flow positive in 2013. Cash flow from operations totaled $4.3 billion and more than exceeded the reduced CapEx of $3.5 billion. As a result, we were able to reduce net debt by $5.7 billion in 2013. A key area where we made significant progress during the final quarter of 2013 was M&A, where we announced our first significant acquisition since the crisis. I'm on the Slide 5. Together with Nippon Steel and Sumitomo Metal Corporation, we have agreed to acquire ThyssenKrupp's rolling and finishing facility in Alabama. While the acquisition will have a minimal impact on our balance sheet, it is significant in terms of our strategy. This is one of the most modern, advanced steel finishing facilities in the world with its powerful, state-of-the-art hot strip mill, well suited to supply North America's fast-growing demand for advanced high-strength steel. We have recently received the DOJ approval from the U.S. and remain on course to secure other regulatory approvals and expect the deal can be completed during the first quarter of this year. Moving on to the development of our mining business on Slide 6. We are making continued progress on our plan to take iron ore production capacity from our ore mines to 84 million tonnes capacity by the end of 2015. We are pleased to report the ramp-up of the Mining Canada expansion is complete with a full 24 million tonne run rate production achieved in December. We also had a very good year in Liberia where operations are running well. We achieved record production in 2013 with more than 150% increase in shipments to over 5 million tonnes. We are progressing with our second phase expansion in Liberia. We now have all the environmental permits, major equipment procurement is complete, field work has commenced at the mine and processing sites has been complete -- work is continuing in processing sites and it is also -- work is being completed in the Buchanan port. We still aim to complete the expansion before the end of 2015. On Slide 7, I want to touch now on CapEx and recap on what we are doing to support and develop our franchise steel businesses. Now that we are over a significant half [ph] in our mining growth CapEx, this has freed up capital to selectively restart some steel projects. Our overall CapEx budget has not increased, but due to some slippage last year, the CapEx expense in 2014 will increase slightly. To recap the key steel projects we are developing, in Brazil, the first phase expansion in long steel products is focused on downstream activities, including a new wire rod mill in Monlevade, as well as further investment in Juiz de Fora to raise meltshop and rebar capacity. The project is supposed to be completed by the end of 2015. In Canada, and we restarted our optimization of the galvanizing operations in Dofasco, which will involve the construction of 660,000 tonnes heavy gauge galvanizing line. In China, we are making good progress in development -- developing our automotive steel capacity. The construction of the VAMA steel complex is proceeding well and we produced to -- expect to produce the first coils in the second half of this year. Finally, in Argentina, we are constructing a new 400,000 tonne rolling mill that will also enable Acindar to optimize production at its special bar quality rolling mill in Villa Constitución. Moving to Slide 8, I want to provide an update on asset optimization, one of our key focus areas. In Liege [ph], the industrial plan has now been completed, mothballing of the facilities are underway and we are proceeding with the next steps of the social plan. As one can see on the chart on the left, including the residual costs effects, we have now exceeded the targeted $1 billion level of savings on a run-rate basis. These residual costs will disappear from the system as we pass through the various legal and process milestones. The cost of the assets optimization process have now been accounted for. This includes $1.4 billion for restructuring costs and a further $800 million of noncash fixed assets of impairments. I consider this an excellent investment considering the factors of the program and the returns visible in our financial results. In addition, the company does not anticipate any further significant charges in relation to the assets optimization as announced and essentially completed. Excluding the impact of DDH, EBITDA for our Flat Carbon Europe segment was over $700 million higher in 2013 as compared to the same period of 2012, an improvement of $26 per tonne. In the accompanying next slide, ArcelorMittal is also extremely focused on our $3 billion cost optimization program. This program focuses more on variable cost reductions in our plants than on fixed cost savings, although these will continue to be substantial. During 2013, we captured annualized savings of $1.1 billion and expect to achieve $2 billion on an annualized basis by the end of 2014. This provides a key support to our results. This is a very powerful program and I remain convinced that it is not something that all of our competitors can match. As a result, I expect the business to retain the majority of these savings. Next, I will discuss our market outlook. Manufacturing output in the developed markets expanded during fourth quarter at the strongest pace for over 2 years, and is continuing to grow during first quarter in 2014. As one can see on the chart on the left of this slide, the ArcelorMittal record global PMI at 52.9 in January remains supportive of improving industrial demand despite the signs of weakness in some emerging markets and impacted in the U.S. by severe weather conditions. In the U.S., underlying fundamentals continue to be positive. Auto sales and appliance demand remain robust, steel demand in the second half of 2013 benefited from an end to destocking and rising underlying demand. The same support [ph] just for the steel consumption during the first half 2014 with demand likely to be strongly up versus the same period of 2013. In Europe, the Eurozone manufacturing PMI in January has risen to its highest level since early 2011 and has remained above 50 for 6 months. European manufacturing is expected to continue to grow during the first quarter of 2014 and new car registrations are also rebounding. The recovery will be constrained by weak [ph] consumer credit and high-end employment, but underlying steel demand is rising. Moving to China. Steel demand continues to remain robust due particularly to auto production, continued growth in infrastructure investment and the strength of newly started real estate. However, we still expect underlying steel demand growth to slow in 2014, as infrastructure spending is impacted by weaker local government funding and as the property market loses momentum. Overall, we expect global steel demand growth in 2014 to be between 3.5% and 4%, with the U.S. growth of between 3.5% and 4.5%, and EU growth of between 1.5% and 2.5% and China between 3.5% and 4.5%. So with this, I hand it over to Adit, who will discuss the financial results and guidance in more detail.
Aditya Mittal: Thank you. Good afternoon and good morning, everyone. I'm on Slide 12 and I will start with the EBITDA bridge. The bridge shows that 11.5% EBITDA improvement on an -- from third quarter to fourth quarter 2013. You can see from the bridge very clearly that our steel EBITDA improved significantly. There was a slight negative impact from volume, which declined in Flat Carbon America because of seasonally weak South America, as well as seasonally weak North American volumes. We also had seasonal factors impacting our South African business, which were offset in part by increases in volumes in Flat Carbon Europe and Long Carbon. Clearly, the negative impact of volume was more than offset by the positive price/cost benefit, primarily in the Flat Carbon Americas and the Long Carbon business. In our mining business, there was an increase in marketable iron ore shipments in Q4, driven by improved volumes in Mexico, Liberia and in ArcelorMittal Mines Canada, following ramp-up of the expanded capacity. Turning to Slide 13, this provides our P&L bridge. As there were various charges during the quarter, I will walk you through the key reasons for some of these charges. As you know, during the fourth quarter, we booked impairment charges of $304 million. These included $181 million related to the Thabazimbi mine in South Africa, following the transfer of the asset to Kumba, as part of a new iron ore agreement with Sishen. This provides immediate cash benefits to our South African business and reflects the capital we have invested in Thabazimbi so far. $61 million related to the now discontinued Mauritania iron ore project. In addition, we booked restructuring charges in the fourth quarter totaling $379 million, primarily related to the industrial and social plans for the finishing facility in Liege, Belgium. As you heard earlier, the asset optimization plan is now largely complete and we do not expect further charges due to the AOP plan. The loss from equity method investments and other income in Q4 was $453 million, as compared to an income of $53 million in the third quarter. Fourth quarter was negatively impacted by few factors, the first one being a $200 million impairment related to China Oriental. This follows our review of their future expected cash flows. A $152 million charge on the agreed sale of the Kiswire steel cord distribution business, we still think that -- we still think this is a good idea to sell the business as we generated cash from the transaction and it was sold at a very attractive multiple. $111 million impairment of our investment in Coal of Africa and a $57 million charge related to the partial sale of our Erdemir investment. We also took the opportunity to settle various tax litigation in Brazil, resulting in a $302 million amnesty charge in Brazil. The terms of the amnesty were favorable, as half of the cost is adjusted against existing NOLs and the remainder is the 118-month payment schedule. Overall, our net loss was $1.2 billion for the fourth quarter compared to a $0.2 billion loss in the third quarter 2013. Excluding these exceptional items, we should have had positive net income in the fourth quarter. Next, we turn to Slide 14, which has a waterfall taking us from EBITDA to free cash flow. During the fourth quarter, we released $0.8 billion in terms of operating working capital, primarily as a result of lower receivables. Rotation days decreased to 57 days from 62 days in the third quarter. The third bar shows the combined impact of net financial costs, tax expenses, offset by other cash inflows, including VAT receipts. So the $2.7 billion of cash flow from operations in the fourth quarter more than covered CapEx of $1 billion, resulting in positive free cash flow of $1.7 billion for the quarter. On Slide 15, we show a bridge with a change in our net debt from the third quarter to the fourth quarter. The main components of the debt reduction during the fourth quarter is the positive free cash flow described earlier, $0.3 billion of M&A proceeds from the sale of 6.66% stake in Erdemir, offset by $0.2 billion ForEx and others. As a result, net debt decreased by $1.7 billion to $16.1 billion during fourth quarter. You should anticipate an increase in net financial debt in Q1 due to investments in working capital, as well as the redemption of an equity instrument of perpetual for $650 million and the cash impact of the closing of TK Alabama. On Slide 16, we show the change in our deferred employee benefits during 2013. We have a reduction in employee benefits of $1.7 billion, which is a result of an increase in long-term yields. For ArcelorMittal, the weighted average increase in discount rates is 0.6%. This resulted in a reduction of $1.7 billion. We also had higher earnings in our plan [ph] assets, which led to further reduction of $0.7 billion. Along with more cash contribution versus our P&L expense, our overall deficit declined by $2.6 billion in 2013. Turning to the last slide, which is our guidance. As you know, the company expects EBITDA of approximately $8 billion in 2014. The key assumptions behind this framework are as follows: the current economic outlook and our forecast is for global apparent steel consumption growth in 2014 of approximately 3.5% to 4% versus 2013. ArcelorMittal expects its steel shipments to increase by approximately 3%. Mining volumes will increase further now that the expanded capacity at ArcelorMittal Mines Canada reached its full ramp-up rate in December 2013. This should underpin a 15% expansion of marketable iron ore volumes for the company in 2014. The working assumption behind the 2014 EBITDA guidance is an average iron ore price in line with current consensus expectations. Due to improved industry utilization rates, and a further contribution of the group's asset optimization and management gains cost optimization programs, steel margins are expected to moderately improve in 2014. CapEx guidance for the year is approximately $3.8 billion to $4 billion. And lastly, our medium-term debt -- medium-term target of net debt of $15 billion is maintained. This now concludes our prepared remarks and we are now ready for your questions.
Daniel Fairclough: [Operator Instructions] And I would invite Jeff Largey to formally start the first question, please.
Jeffrey R. Largey - Macquarie Research: I just wanted to maybe expand a bit on the outlook and the guidance framework, particularly the comment on the moderate improvement in steel margins. Adit, I heard how you explained a bit on the background there in terms of the cost-cutting and management gains. I was just wondering, to what extent have you factored in that -- we could see weakness in steel prices in the U.S.? Does that moderate improvement in steel margins essentially assume that you will have prices may be coming down there? Does it assume anything for, say, European steel prices? I wonder if you could just give some color on that.
Aditya Mittal: Okay, good. Thank you, first of all, Jeff. In terms of our moderate steel margins, the underlying assumption is that as we see raw materials decline, we can see that in our consensus forecast for iron ore, which is $120, and we see a similar impact in coal, where we've an environment in which average pricing so far is lower than last year, we expect the margin of steel to expand. So there would still -- this does not imply that steel prices don't come down. Steel prices may come down, but not by as much as the -- what you would get from a direct impact of the raw material price decrease. So that's the way the consensus is built, that's the way our EBITDA bridge is built from 2013 to 2014 based on expansion of steel margins as around tier prices decline. It's not -- in terms of specific assumptions, I don't want to do drawn into where the pricing environment in the U.S. is. In Europe, it's clearly where -- clearly, our expectation is that as asset utilization rates improve, because we see that on a global basis, we are forecasting 3.5% to 4% growth. That will also provide the basis to improve steel margins.
Jeffrey R. Largey - Macquarie Research: Okay, great. And just as a second question, in terms of the free cash flow outlook for the full year, I mean, you gave a little bit of color about net debt obviously increasing in the first quarter. But would you expect at that type of EBITDA level that you're generating free cash flow for the full year?
Aditya Mittal: So Jeff, in Q4, clearly, we had a working capital release and I would not expect that we would be generating that much of a release every quarter whenever we generate that much of EBITDA. So maybe I just walk you through our broad cash flow numbers and how we look at net debt during 2014. I think that the starting point is really $16.65 billion, not $16 billion, because in January of this year, we have possibly [ph] redemption of our perpetual. Perpetual, which is an equity instrument, and therefore you would add that to the net debt. As you heard, we have to -- we are closing out that mine in Q1, so that's a net M&A outflow of 258. Starting with that base line, I would then add the positive free cash flow of the business, which as you know, based on our EBITDA guidance, we expect the business to be positive free cash flow, less any investment in working capital. Typically, as shipments increase and environment in which economies are recovering, we do see some moderate investment in working capital.
Daniel Fairclough: Great. We'll take the next question from Jason Fairclough at Bank of America.
Jason Fairclough - BofA Merrill Lynch, Research Division: Just one question from me. Perhaps, could you discuss how you think the recent emerging market currency weakness will impact your various businesses, I guess, both in cost terms but then also in terms of your ability to push through the proposed price increases in Europe?
Lakshmi Niwas Mittal: There are 2 impacts. One is the accounting impact of this weakening of the currency. Second on the business side. From the business point of view, we see that the business in these economies become more competitive because of the local cost in the currencies. But at the same time, we have to be worried about the inflation. If the inflation is not catching up, then we tend to gain. At the same time, weakening currency also slows down the development of these countries. If these countries, with the weakening of the currency, continues to grow and they have a control on the inflation, I think that this is beneficial to us from the cost point of view. And if we can participate in the growth in the market, this also increases the volume. So these are the things which we have to monitor country-by-country. That in some countries, inflation can remain in control, some countries cannot. So depending on the country's environment, we tend to gain more upside. In some countries, we tend to gain less.
Jason Fairclough - BofA Merrill Lynch, Research Division: Could I just follow up? So what about the risk of increased import competition in Europe and therefore, the flow through on pricing?
Lakshmi Niwas Mittal: Increased risk in import, these countries do not have a significant impact, except Turkey. Other countries like Brazil, and you can say, South Africa, they do not have a major imports. So they do not affect the major imports in these European markets. But clearly, the Turkey situation needs to be monitored because if the Turkish lira is devalued, so they could become some -- they could impact a little bit on the business, but at the same time, their costs are also increasing. And while their costs are increasing, we have got several initiatives within our company on the management gains. So basically, if these are more on the variable cost side, we think that we will remain competitive. And I also believe that European governments will be working on the cleared [ph] actions against such subsidized imports, and I hope that we could also get some relief.
Daniel Fairclough: Okay, we'll move to the next question from Mike Shillaker at Crédit Suisse.
Michael Shillaker - Crédit Suisse AG, Research Division: Yes. When I look at your working capital move in the fourth quarter, the opposite -- you had an inventory build, which you would expect into a better market. But you actually had a fairly significant rundown in receivables and increase in payables. So that's about $1.6 billion. How much of that, so we can get the starting point, was a genuine cost of business? But how -- and how much of that actually would you expect to reverse out and was just effectively into year end? And when you reach that $15 billion of net debt, be it this year or next, can you talk about what your key objectives are for use of capital? Is it dividend first? Is it CapEx? Is it a mixture? Or similar? My second question, the AACIS is something we've been talking about for some time in terms of this deterioration. You've obviously got the ongoing risk of deterioration going forward, given its self-sufficiency in iron ore in Ukraine and Kazakhstan also, which I think we spoke about 1 year or even 2 ago with Gonzalo. What are you doing? Because it's -- it just seems as though this business, which was your jewel in the crown several years ago, is just deteriorating and deteriorating. Is this something you're really stepping up in terms of looking at improving? And frankly, what is it you can do? Because it's -- the performance is just nowhere near. It's 3.5% margin. It's nowhere near any of the rest of the group and be where it used to be.
Aditya Mittal: Okay. Michael, I think, you asked 4 questions. In any case, we'll start going through them. Your first question, $1.7 billion, I think you're ignoring the inventory impact. So we have built $810 million of inventory, so net working capital build is $847 million in Q4. The inventory is very much linked to AP right? As you build inventory, you don't pay your suppliers. And so, that impact will come in Q1. I will get more specific on Q1, but just so that everyone appreciates, our actual impact of working capital has not that -- has not been as significant as in prior periods. If you looked at Q4 2012, we used to have inventory destock as well, so you would add to the AR. The same happened in Q4 2011. So the fact that we are building inventory has actually muted the release of working capital. Nevertheless, moving onto Q1, we are still expecting an investment in working capital. On average, a day at ArcelorMittal, a rotation day is worth about $200 million. I would expect to see a movement of up to 5 days increase in working capital. We think that's a reflection of the steel environment in terms of higher shipments and we'll be paying back the payables, AR will be going back up, and that's the type of movement we would see. In terms of your net debt question, so Michael, there is no change in our thought process there. Our net debt target remains $15 billion. We've always said that once we receive that -- we achieve that level, we will look to all of you, look to our shareholders for guidance, and then discuss with our board, what is the best use of the free cash flow? Is it to increase dividends? Is it to further decrease net debt? Is it to increase CapEx? Is it to do share buybacks? So I think we should arrive at that level and then begin the discussion process, in which the board would be intimately involved. In terms of ACIS, I would make a few remarks. I do understand that when you look at it from a third quarter to fourth quarter, you would feel that the business has not performed well. But I think there is an underlying improvement, perhaps, not to the level all of us want, because if you looked at fourth quarter 2012 compared to fourth quarter 2013, you can see that negative EBITDA has become positive. As you are aware, in the summer of this year, we have put in a new operating management team, the Group Chief Technology officer, Marc Vereecke, is now the Chief Operating Officer of ACIS. The plan is similar to what we are doing in Europe of running assets stable, running assets full, bringing down the cost of the primary operations, having stable raw material flows, and we're seeing some preliminary results of that actually even in Q4, where in Kazakhstan, we reduced the losses from Q3 to Q4. It's not enough, I agree. But we do believe that there is more that the team can achieve. And as the team achieves that, the performance should improve. There are also some specific factors in ACIS, which should help the performance going forward in 2014. I talked about the Kumba agreement in the previous quarterly call. As you know, there's an EBITDA benefit of about $65 million to $75 million of changes based on the rand-dollar conversion. And then there is a cash flow benefit, because we no longer have to spend the CapEx on Thabazimbi, which is also about $65 million. So that's quite significant. There is a question earlier on, on devaluation. So we're seeing Ukraine devalue its currency quite significantly. On an export market, that's quite positive, assuming that there is political stability and the local demand environment is not impacted, inflation doesn't catch up. That's a positive headwind for the Ukraine business as well. Kazakhstan used to sell a lot to Iran. And we are hearing the Iranian market is opening up, so that creates another opportunity as well. So to try and conclude on ACIS conversation, we're not satisfied with the progress, a new operating team in place. Nevertheless, when you look on quarter-to-quarter, last year to this year, you can see progress and there's some specific factors, which should yield a better year in ACIS compared to 2013.
Michael Shillaker - Crédit Suisse AG, Research Division: Just one very quick follow-up. I -- if I remember, Kazakhstan used to sell around 1 million tonnes to Iran and I guess, you got embargoed fully out of that. Have you heard anything in terms of a softening of a stance there?
Aditya Mittal: Yes, I think there is a softening of a stance, but I think it's premature for us to talk about it. We are reviewing that and when we have further updates, we will let you know.
Daniel Fairclough: Okay, we'll take the next question from Alessandro at JPMorgan, please.
Alessandro Abate - JP Morgan Chase & Co, Research Division: A few questions. Going back to the FX effect, just go talking about Brazil, if you can give a little bit more color on the net effect you expect from the negative translation into U.S. dollars and the supposed positive effect you're going to get, in terms of export boost? Also because yesterday, Aperam, they have confirmed that Brazilian order intake is quite solid at the moment. The second one is related to some sign of uptick in the Southern European space, mostly Spain and Italy. And if so, which segments of the market you see picking up a little bit? And this, related also to your view on the Eastern European countries, especially the recovery of the activity, and which segment do you think might recover the fastest? The third one is in the U.S., if you see some kind of sign of uptick in the nonresidential construction? And at last, if you can give a split of the $2.7 billion reduction of the pension between the European and the U.S. assets?
Lakshmi Niwas Mittal: Okay. Louis, do you want to...
Louis L. Schorsch: Yes, this is Louis Schorsch. I'll comment a bit on the South American situation with the FX effect. I think as Mr. Mittal mentioned, there's really 2 things that would affect the results coming out of that kind of situation. One is the degree to which we can alter or raise our finished product prices in the domestic currency to compensate for the loss in dollar revenues as the domestic currency declines. And I think there, I think to date, this is something that we've been able to accomplish. There's typically a lag, but I think everybody recognizes that a lot of the cost base of raw materials, ultimately the energy, et cetera, is dollar-denominated and there's some acceptance of that need. But again, there's typically a little bit of a lag as you'd roll through that development. I'll comment in the most extreme case and, obviously, this is looking backwards rather than forwards. But in Argentina last year, we had inflation of about 26%, if I recall correctly, and we were able to maintain the financial results from that operation. So it can be done, but again, that's looking backwards. In terms of the cost base, I think it depends on the product that we're looking at but, obviously, there is some benefit. Again, I don't want to give a figure because I think it depends on the individual product we're looking at, but I don't expect that to have a very significant effect on our export position. Anything helps, but if you look at our exports from that region, by far, the majority is the -- in semifinished products, slabs in particular, and of course, you have less value-added in the slabs, so the benefits, let's say, the impact of the lower domestic cost base is certainly much smaller there than if you looked at a more of a downstream product. So I think the challenge is, again, managing the revenues to keep stable and competitive and balanced on a worldwide basis and I think with some lags to date, we've been able to do that.
Aditya Mittal: [indiscernible]
Louis L. Schorsch: Yes, I think we found -- moving on to your last question on the construction market in the U.S, it's not a market that we participate in directly to any significant extent. So we're affected, in terms of our results, more indirectly as some of our competitors are a bit more active there, are either able to shift production and shipments into those markets or have to ship them out of it. I think, we see in general, some gradual if slower than anybody would like, improvement in construction markets in general. But again, I think that's still the gap. If you look at low operating rates for the -- at least in the reported statistics, although, [indiscernible] that's driven by some weakness in that very light construction market because, again, all the other markets, which are really the ones that we participate most directly in are really running at pre-crisis levels or close to it.
Aditya Mittal: So let me just recap Europe on a macro basis and then get into East Europe and Southern Europe. As you know, manufacturing PMI is at the highest level in 2 years, it's very positive news. The negative headwinds remains unemployment and credit remains tight. If we look at Southern Europe, we see the automotive demand environment there was much stronger, where auto sales rose across Europe 6% in Q4 year-on-year, and that was really led by U.K. and Spain. In terms of East Europe, we are still very constructive on the Construction segment, where we see a lot of infrastructure build occurring in East Europe. Other than that, on the various other segments, I think, what's similar across Europe. So far our forecast remained that auto production is positive. We see machinery being even stronger than the automotive sector and clearly, construction remains the laggard in Europe. In terms of the $2.6 billion, the first $200 million is the fact, that we spent more cash than we expensed. Then the other biggest component of that is $1.4 billion, which is the reduction in the liability because of an increase in discount rates. The biggest impact of that $1 billion roughly or $1.55 billion comes from U.S. and Canada. U.S. is $825 million, Canada is $230 million and then Brazil is $265 million, where we saw a big change in the discount rates of about 3.4%. Model 0.8% for the U.S. and 0.45% change in Canada and the remainder is very small in the Eurozone. In terms of plan [ph] asset performance, we will get back to you with a breakdown by country and I'm sure, Daniel can follow up with you on that.
Daniel Fairclough: We'll move to the next question from Tony Rizzuto, Cowen and Company. Tony would you mind [indiscernible]?
Anthony B. Rizzuto - Cowen and Company, LLC, Research Division: Probably a question for Lou here, what is price of hot-rolled coil that you're seeing hitting the U.S. shores from foreign suppliers right now?
Louis L. Schorsch: I'm a bit hesitant to get into specific pricing discussions, if you will. We recognize that we're always looking at sort of the arbitrage relationships, if you will, between U.S. price levels and world price levels, particularly looking at Southeast Asia and they're now probably higher than the norm, but that's been the case since July. So we are seeing a bit more import pressure. I think we've been able to maintain that -- the high end of that differential as I said again for now 6 or 7 months. So we've been a little bit surprised with that. I think inventories are low. There's -- people are looking for that spread to converge at some point. So, I think we expect that -- some reversion to the mean as well, but again, it's been sustained for a relatively long period of time still.
Anthony B. Rizzuto - Cowen and Company, LLC, Research Division: I appreciate you can't talk about specifics, but possibly qualitatively, as U.S. prices have been pulling back and probably will do so in the near term, are we getting closer, do you think, Lou, to establishing a pretty good floor of support?
Louis L. Schorsch: I think we're still -- there's still a gap that's a bit wider than the norm. We think today, we're $200 around there versus China. We've seen it below, 1 year ago, we were looking at numbers below $90 as a differential. So, I think we'd expect some reversion to the mean there. I think there's other factors that drive this -- the underlying demand in the marketplace, of course, and then some of the raw materials, in particular, for our markets, are moving in scrap and we have seen, for a variety of reasons, scrap tending downwards because -- mainly because there's lower exports of scrap. So that would kind of bring the overall pricing down without necessarily affecting the cost basis too much. But, it's actually quite difficult to get some visibility in this environment because of the weather-related issues that we have in the States now. And typically, that would tend to tighten the scrap market quite a bit. So that's a bit of an unknown or an uncertainty in the market environment now. But again, I think we -- our planning would be, that we would see some reversion to the -- a more normal spread, let's say, over time.
Anthony B. Rizzuto - Cowen and Company, LLC, Research Division: Okay. Can you talk about your planned outages in the U.S. for 2014? And then also, where you see the Calvert, Alabama, mill, where is it currently operating at present? And how is the qualification process coming along?
Louis L. Schorsch: We have one significant outage in the U.S. this year, maybe it's more significant operationally than commercially, but we are taking our #7 furnace at Indiana Harbor, which is the largest in our system, down for about 2 months starting in -- the expectation is now in around May, June. But this is anticipated. It's a -- it's not a full reline, but a repair job. We've been planning this now for at least a couple of years. So we expect to be kind of well-established, if you will, with slabs on the ground that will allow us to continue to serve the customer base even while we're doing that repair. So it won't be a surprise. It's been well planned. I don't think there'll be a big commercial impact because of it. And in terms of Calvert, we now expect, with the DOJ approvals, that we would close sometime this quarter. We'll get into the facility then to be able to operate it ourselves. I think because of the regulatory requirements and restrictions, we still won't be able to see the customer mix, the order book, et cetera, until we actually take control of the facility. So to predict and project how we would operate it, that's something that'll have to wait until we actually step in. I believe the facility though is running today at around 3 million tonnes in terms of its production rates. So, somewhat close to well -- improvement certainly over the last few quarters in terms of the operating rate and we'd expect to be able to ramp that up as we take over.
Anthony B. Rizzuto - Cowen and Company, LLC, Research Division: That sounded -- yes?
Aditya Mittal: I would just add that Calvert has short terms, that includes some Stainless program.
Louis L. Schorsch: Yes.
Daniel Fairclough: Okay. Then, we're taking the next question from Alex at Morgan Stanley.
Alexander Haissl - Morgan Stanley, Research Division: This is Alex at Morgan Stanley. Sorry, my first question is basically to clarify on the free cash flow. Did you say that the working capital rotation days should go up by 5 days during 2014? And is it fair to assume that we are talking about a high-single-digit million figure then in terms of working capital build up?
Aditya Mittal: Alex, I'm glad you asked that question. I think my specific comment was in relation to Q1. And it was 5 days, roughly, and each day is roughly about $200 million.
Alexander Haissl - Morgan Stanley, Research Division: Yes, so it's $1 billion?
Aditya Mittal: Yes, that is actually right. So that's Q1. In terms of cash flow for the year, all of working capital is a moving part, we did release working capital in '13 and in '12. At the end of the day, if there is a small investment in working capital, I would think that is good news because it reflects that the macro environment that we're talking about materializes, we do have the growth in shipment, we do have the growth in margins and therefore, we have to invest in our business, which is -- including working capital.
Alexander Haissl - Morgan Stanley, Research Division: Okay. So, that's fair enough. The other question is, assuming some working capital build up for the full year, is it fair to say that the -- on the underlying basis, you should breakeven on a free cash flow, given the $88 million EBITDA, $3.9 billion CapEx? And it should roundabout break even?
Aditya Mittal: If we exclude working capital, clearly we will be strongly free cash flow positive. And I don't want to say what the working capital amount is because then we're giving very specific guidance.
Alexander Haissl - Morgan Stanley, Research Division: And my second question is on the guidance, on the margin expansion. What makes you believe that in an environment with falling raw materials, you can keep some margin? Because, clearly, when you look on the European market, at least year-to-date, we're down $5, $6 versus first quarter 2013.
Aditya Mittal: Okay. Alex, I don't want to get into specific pricing. I think, when we talk about steel margins, we're talking about 3.5% growth on a global basis, we'll always see that as good steel capacity utilization and sub margins normally improve. So that's the main driver. Number two, in a stable environment, not in a volatile environment, normally when you have some fall in raw material prices, as we are efficient producers in Europe and in North America, we can retain some of that fall and that translates into a higher margin. So those are the 2 drivers for us and I don't want to get specific on what Q4 to Q1 is and what is the change in raw material pricing. But we see that and so we remain comfortable on our guidance framework.
Daniel Fairclough: We'll take the next question from Luc Pez at Exane.
Luc Pez - Exane BNP Paribas, Research Division: Two questions, if I may. First of all, could you indicate if there has been any factoring of your -- what you consider working capital reduction over Q4? And if so, if you can quantify it? And second question is related to the long carbon business, which I think, is explaining most of the positive surprise on the EBITDA for Q4. Seems that a lot of that is coming from the other contribution, which I suspect is related to Tubular business, so if you could explain a bit as to how sustainable and where it has come from?
Aditya Mittal: Luc, in terms of TSR, the change from first half to second half is about $300 million. In terms of Long Carbon business, you're right, the tubular business did perform well. But if you look through it, you will also see that Europe performed well, as well. And Brazil was down on a seasonal basis. In terms of the tubular business, as you know, we had a long strike. In Venezuela, the strike came to an end in the third quarter and we were able to catch-up in terms of production and shipments and to satisfy our customer base. So you see that pickup in our tubular business in Q4. I don't expect that level of performance in tubular to continue into 2014. But I do expect improved performance coming out our Long Carbon Americas business.
Daniel Fairclough: And we'll take the next question, please, from Philip Ngotho at ABN AMRO.
Philip Ngotho - ABN AMRO Bank N.V., Research Division: I have a few minor questions. First, maybe on the run rate of the cost saving. You mentioned that at the moment you have, for the management gains, you have a run rate of $1.1 billion, could you maybe just give us a bit of an idea of how much of that cost saving that you actually realized you're expecting to still retain? And then on the -- also relating to the Management Gains program, can you indicate whether we can expect any one-off charges relating to that program? I understand that you -- that you're not expecting any charges waived for the asset optimization program, but I'm just wondering, on the Management Gains program, if there are any charges to be expected there? And then the last question is on the tax MSP, I was wondering how much of that will be a cash out and within what time frame?
Aditya Mittal: Okay. So in terms of management gains, there are no cash -- there's no charges because management gains is not a restructuring story, it's really a story in which we are optimizing our operating base and getting variable cost saving. The management gains plan that we have outlined is 2/3 variable cost, 1/3 fixed cost and the fixed cost again is not a restructuring story, it's more optimizing and capturing attrition as we produce more tonnes of steel. In 2013, a larger portion than 2/3 was variable cost, so the program has worked as designed. In terms of how much we have retained, it's very difficult to create a bridge because clearly, our performance has improved 2013 to 2012, to attribute it to different buckets is a little bit guess work. So we don't provide exactly how much is saved. We have always indicated that we do believe a majority of those savings flow-through the business and the rest we lose through competition -- because of the competitive landscape. Because of the tax amnesty, as I said in my remarks, the good news is that, there is very minimal cash impact, because half of it is being adjusted against our existing NOLs in Brazil. So, that's just a reduction of our NOLs. And the remainder is being paid out over 118 months. So, yes, yes, yes. So it's over 118 months. So you can run the math on that. It's not a significant amount. It's about $10 million a year, last time I [indiscernible]. Yes?
Daniel Fairclough: We'll take the next question from Rochus, at Kepler, please.
Rochus Brauneiser - Kepler Cheuvreux, Research Division: But the first question is, can you talk a bit about the current demand picture you're seeing in Europe from underlying goals and what you're seeing in terms of restocking? And how that fits in terms of your first quarter volume expectations for Flat Carbon Europe? Would you -- would that be more in the kind of usual 10% quarter-on-quarter range? And how does that fit with your current available [indiscernible] production capacity at Flat Carbon Europe? And the second question is regarding the operating issues you mentioned in Brazil, could you quantify the negative earnings and volume impacts you had from there? And is there anything else material that you're currently seeing in the New Year, in terms of operational problems?
Aditya Mittal: Okay. So in Brazil, the impact we estimate is about $30 million to $35 million in Q4. We don't expect that to continue. There will be some residual impact, but not so significant, and so if we would see better earnings in Q1 coming out of flat Brazil. In terms of the 10%, that's only valid when you have a weak second half in terms of the apparent steel consumption. So we actually had quite a strong second half, where demand in the second half was -- apparent steel consumption was positive 5.1% and if you remember in the first half of 2013 it was minus 5.2%. So if you look at 2014, we are not seeing that type of change in terms of demand compared to the second half. We clearly are in positive territory, but not those levels.
Louis L. Schorsch: Maybe it's worth if we talk about Q1, just to comment again on the weather related situation that we have in the central part of North America. It's very difficult to predict any kind of numbers or impact. I think when we first saw the severe weather conditions, there's 2 effects I can mention. One is, it does impact or affect our shipments. The major issues are related to logistics, the movement of materials, but there's also potentially significant issues with our customers being able to accept materials. We had literally cases of entire roads shutdown, truckers not able to move, et cetera. The other impact is that we see some very volatile energy prices. We're seeing the natural gas prices being up 15% to 20%, depending on the region and so on. Now this can be a short-lived anomaly or it can be something that would be more sustained. We don't know because it literally is predicting the weather. So, but I think, when we have the impact in the first couple of weeks, we always think we can make it up, we can adapt to it, it's now been sustained enough that it will have some impact for us on Q1, again, very difficult to give any numbers around it.
Rochus Brauneiser - Kepler Cheuvreux, Research Division: Okay. And on the strong performance you have seen in Long Carbon Europe against the usual seasonality, is that driven by the weather in Europe? Or has that been a reflection of an improving construction environment across Europe and including the South?
Aditya Mittal: We had good performance in volumes in Q4. So there was a recovery that we saw -- we saw some of this occur in flat as well, where volumes in the second half were better than the first half. We also had good cost performance. This is coming out of our Eastern operations, where Long business is actually part of the integrated business. And in East Europe, we are moving towards a system where we are running our operations full, stable and that's providing cost benefits. And in East Europe, the larger portion of the business is actually served to the long side versus the flat side.
Daniel Fairclough: We'll take the next question from Rui Dias at Espirito Santo, please.
Rui Dias - Espirito Santo Investment Bank, Research Division: Just a quick question for me. Going back to CIS, you were saying that you are seeing some improvement here. But when should we expect this decision to achieve a cash breakeven? And for how long are you willing to wait for this breakeven before deciding for a potential divestment from this region, I mean, what could trigger such a divestment?
Aditya Mittal: I think the thing to appreciate is that we are reporting the steel results in the ACIS region. And there's a portion of the value which is also captured in the mining. And that comes in the Mining segment results. So what you have to look at the businesses -- as these businesses are very interconnected here, I think, we could separate them, but I think that would not be a very attractive proposition to a buyer, so you would basically be selling the packages. Because if you go to Ukraine, for example, the mine is contiguous to our primary operations. And therefore, you should look at the combined business really on a strategic basis and when we look at that and with all changes we have discussed and talked about, we see the business on a combined basis being cash flow positive.
Daniel Fairclough: We'll take our next question from Bastian at Deutsche Bank, please.
Bastian Synagowitz - Deutsche Bank AG, Research Division: My first question is again on the Latin American business of SCA. Could you let us know whether there has been any negative impact in Q3 from the restart of the blast furnace in Tubarao? And if not, do you expect any impact going forward? And then my second question is once again for Lou on the North American business of SCA. Lou, could you please remind us again what is the share of the contract business [indiscernible], as I would have expected that you should have seen a pretty good price increase for the contract, which you have based as of January, given that we have now seen 6 to 7 months of really strong price premiums [ph] versus previous price levels and, obviously, also versus other regions, so generally a good argument to go back to your clients. And I guess, shouldn't this, together with the possible uptick in volumes in Europe give some confidence on a sequential EBITDA improvement going now into the first quarter?
Louis L. Schorsch: If I understood then, first on the blast furnaces in Brazil, I don't think any negative incidents or complications, if you will. We are doing some repairs now on our #3 furnace, which is the second largest in the system there in Tubarao. And we would expect to blow that in sometime in the -- towards the middle of this year, at which point the current plan is we would be operating the 3 furnaces in that operation. The -- on the contract business, roughly, I would say, 50% to 60% is a good number for the North American business. I hesitate a little bit because traditionally, we've had about 40% that's been clearly spot, maybe 10% or so that's been indexed and the remainder contract. We have tried to move away from the index contracts to some extent this year, but it's -- maybe a little bit more than 50% on the flat roll side of the business. We can't comment on any specific negotiations or situation, but I think always if you're in a negotiating environment, the discussion is shaped by the spot market environment and spot pricing. And of course, since we had a relatively favorable spot pricing environment in the second half of last year, at least from August or so, contracts that were under discussion in that period, we slept [ph], to some extent, that environment.
Bastian Synagowitz - Deutsche Bank AG, Research Division: Okay. Got it. Then, just a follow-up and then -- and I guess what it basically means for the group. I mean, so basically look at this, I think, of the rebasing effect of you telling us that actually we should improve in Brazil in the first quarter obviously, some volume improvements in Europe as well along with some profitable margin improvements, I guess. Probably some seasonality in the shipments and mining with maybe the lower iron ore price is about the only negative, so why would actually the first quarter EBITDA not be up versus Q4?
Aditya Mittal: Yes, so that's a good summary. I think the only thing we need to be aware of is the Tubular. So I talked earlier about how Tubular had a very strong performance in Q4 and that will not be replicated. So if you take the headwind of mining pricing, as well as Tubular and the rest of the environment is constructive and then Lou did mention that it is not clear to us the impact of the weather disruption. It's still early days, weather disruption in North America.
Daniel Fairclough: We'll take the next question from Brett Levy at Jefferies, please.
Brett M. Levy - Jefferies LLC, Fixed Income Research: With respect to the newly acquired Alabama mill, you gave a little bit of an answer. Can you talk a little bit about kind of what the plan is for that mill? How cash flow negative might it be as we look into 2014? What the plan is to kind of, sort of turn it around, maybe shifting some of the order book from some of the other plants? Just kind of a little bit of a sense as your business plan as you look at this new asset?
Louis L. Schorsch: Well, I can start on it. I think we view the asset as additive to our existing operations. So there may be some optimization for logistics reasons and so on. But again, we view this in terms of the shipments and the revenues as something that will be an addition. Clearly, it's a facility that's capable of producing and serving very high-end markets. For those that have visited, you recognize that the principal target markets there are automotive and energy. We are obviously big players in those markets already. But certainly, I think that allows us to optimize in terms of the shipments. So a lot of the energy market, hot rolled going into tube making, some of the biggest tube makers are within 100 miles or so of that facility. So certainly, I think this strengthens our position in that operation. We, again, need to get in there, I think, and really see what the current order book is. Obviously, that gives us the base on which to build. We have an arrangement with TK as part of the sale to have a certain level of slabs, volume, a sort of a baseload, if you will, from CSA. And I think as we expand, we would plan to be able to then round that out in large part with our own slabs, either from excess that we have in the U.S. or potentially from our slab-making operations in Mexico and Brazil. We have indicated, I believe, that we see important synergies, that amount to, I think, our estimate is around $60 million once we're fully running the facility. And we have said that we see a way, with some hard work and so on, that this will be EBITDA positive in the first year, first year of operations. So beyond that, I think that's about all we can say at this point until we get in there and actually report more on the operations and running it up. The facility is a very good one. I think the people are good, et cetera. So we're very pleased about it and confident that we can make it work.
Brett M. Levy - Jefferies LLC, Fixed Income Research: And how EBITDA negative was it on an LTM basis?
Aditya Mittal: We -- I think it's in the announced results. I think you should wait until they do that. We will update you when Alabama is under our control.
Daniel Fairclough: We'll then move to Alex at MainFirst now, please.
Alexander Hauenstein - MainFirst Bank AG, Research Division: One question. What kind of feedback or indications are you getting out of China regarding the plans for your industry consolidation due to the environmental issue? And the second question, I don't know if I got everything on that or whether you commented on it already, but I was wondering whether you could shed some more light on the newly signed contracts for automotive steel in Europe?
Lakshmi Niwas Mittal: On the China, we are getting the -- getting some feedback that the new policy, they really want to curtail some of the capacities, which are polluting -- which are not following the EPA regulations and we are hearing that [indiscernible] to shut down about 60 million tonnes in [indiscernible] Province, and in the other regions, we are seeing that authorities are putting a lot of pressure on these companies to follow the new EPA regulations or shutdown these smaller facilities, which are not viable. And which are not following the EPA regulations. They have promised, but let us see how much is executed [ph] and implemented. You'd like to answer, Lou?
Louis L. Schorsch: Yes. And automotive, again, I think it's -- we don't really want to get into pricing and contractual relations. We do see some modest growth, 1% to 2%, in terms of auto demand in Europe for the coming year. So that gives a bit of a positive environment in which to have those discussions.
Daniel Fairclough: We will take the next question from Tom at Theodoor, please.
Tom T. Muller - Theodoor Gilissen Bankiers N.V., Research Division: Aditya, a question for you, just following up on the framework for the guidance, would you be possible to give us some kind of clarity of the -- of which -- or the order of weighting of what the important drivers are? I noticed that you put the moderate improvement in steel margins as Point D. Is that because it has the least power in terms of driving that $8 billion 2014 EBITDA guidance?
Aditya Mittal: Great question. As a matter of fact, Tom, it's the last item on our bridge. So I don't know if that means it's the least important, but it is the last item. I think the first driver of our bridge, when we think about it, I'll do the positives. First is steel volumes. I mean, clearly, 3% increase is quite substantial. If you just look at rough numbers, that's about 2 million to 3 million tonnes. We talk of fixed cost benefits of between $200 to $250 a tonne. So that's quite substantial. That underpins the macro environment that we are forecasting for 2014. The second, volume growth is occurring in mining. I mean, we didn't really talk about it in much detail. But we -- you don't see it in the shipment number, but when you look at the level of production of AMMC, it was very strong in Q4. And December, we were at full capacity utilization, you're [ph] running the place at 24 million tonnes. So we're forecasting 5 million tonnes more. Our average margin floor is about $55 a tonne, so that's significant. We talk about the AOP plan being complete, but we still have some residual benefits, which are flowing through. That's about $200 million. We have another $1 billion in management gains, we talk about the majority of that being saved. So that's a significant driver. Offsetting that is our forecast from iron ore pricing. $120 is about $15 lower than where we were in 2013. That's a big negative, because we have the impact on marketable shipments, but we also have the impact on the iron ore pricing or integrated operation and that kind of comes back to the previous question on ACIS to some degree. And then there is a small steel margin expansion, which is really driven by increased crude steel capacity utilization, so we should have improved pricing. If your question is, is our EBITDA guidance predicated on improving steel margins? I would not say that. I think there are significant improvement potential within the company, even if we don't get the steel margin driver.
Daniel Fairclough: We'll take the next question from Tim Huff, RBC.
Timothy Huff - RBC Capital Markets, LLC, Research Division: Just 2 quick questions. One, is on the mining division cost. Looks like you guys had really good cost control over the past year. Better than the past 3 years. Excluding first quarter seasonality, do you think you'll be able to maintain that cost level going into '14? Or are you looking for a modest improvement as the ramp up continues? And the second one, just a quick revisit, I didn't actually hear the answer to the pension question that Alexander asked a bit earlier. I was just wondering if you could repeat the answer.
Aditya Mittal: Sure, I think Bill can talk about the mining cost structures.
William Alan Scotting: Yes, mining costs of course will benefit -- or continue to benefit, as we ramping up on the AMMC. On top of that, we're focusing on cost reduction in [indiscernible] price outlook for iron ore as well.
Aditya Mittal: Okay. Yes, so on the mining side, clearly, we were forecasting cost improvement in 2014 due to AMMC ramp up. In terms of the pension question, what exactly did you want to know? The breakdown of the deficit reduction? The discount rate? What was the thing that you did not hear?
Timothy Huff - RBC Capital Markets, LLC, Research Division: I think it was the split between regions, where the reduction came from, or if you -- I didn't know if you answered it that way or if you could actually split out the reduction in -- if you could quantify how much of it came from changes of assumptions versus the higher return on plan [ph] assets?
Aditya Mittal: Okay. So we have provided a split, the global split is $2.6 billion, $0.2 billion comes from higher cash payments versus P&L expense. $1.4 billion comes from deficit reduction, that's just an increase in discount rate. And $0.7 billion is coming from the increase and return on plan [ph] assets. So this is not really assumption driven, this is just the actual situation. The $1.4 billion for us is the 0.6% on average discount yields change across our liabilities. And to be more specific, in the U.S., we have a 0.8% change, that's $825 million, Canada 0.45%, that's $230 million. Brazil 3.4%, that's $265 million, and that's the lion's share of the $1.4 billion. As you know, most of our assets are in America, so the return that I talked about is driven by our performance in North America.
Daniel Fairclough: We'll take the next question from Alain William. And this will be the first of the last few questions, because we are running up against some time constraints now. So we'll take [indiscernible].
Alain William - Societe Generale Cross Asset Research: So I have just one question left. Could you give us an update on the CapEx in Liberia? I just wanted to make sure that there is no cost overrun there?
Aditya Mittal: We haven't really provided an update on the CapEx in Liberia. We will do that in more detail in the Investor Day. As you know [indiscernible] the mining division and he will have the chance to speak in detail of his plans of the mining division, the strategy, as well as CapEx, in Liberia.
Daniel Fairclough: [indiscernible] We'll take the last 1 or 2 questions from Seth at Jefferies, please.
Seth Rosenfeld - Jefferies LLC, Research Division: Seth Rosenfeld at Jefferies, just one last question following up on the mining division, clearly, you're making a lot of progress in terms of increasing your market price tonnage. In the medium-term after Liberia is completed, I was wondering if you can give us a bit more color on the next stage of growth, particularly up at AMMC. You've talked for a while about potential to grow from 24 million to over 30 million tonnes per annum, should we assume that, that is still on the horizon? Or ultimately that, that won't be considered by the board until after your $15 billion net debt target is achieved? I'll leave it there.
Lakshmi Niwas Mittal: At this time, we are focusing on completing our existing projects to achieve 85 million (sic) [84 million] tonnes operating capacity by end of 2015 and you know that we have some projects going on in Baffinland. And we have some ideas being discussed. Perhaps when we meet up in March on the Investor Day, we can give you some more medium- to long-term view what are the potential ideas we have in the mine.
Seth Rosenfeld - Jefferies LLC, Research Division: And just one more follow-up question, in the last full year, you saw some strong increase in shipments from Liberia and Canada, clearly. But you also noted some weaker production at European, African, and the U.S. mines. I was wondering if you can give a bit more color on what drove that drop in own iron ore production in some of those regions? And if you expect that to rebound in 2014?
William Alan Scotting: Yes. Some of that is related to the shipments going to the steel mills in those areas. I think [indiscernible] there was weather-related drop at the back-end of the year. But it's nothing major there. We're expecting volumes to recover with steel in those areas.
Lakshmi Niwas Mittal: Finally, thank you very much. Sorry we could not get through all questions. I understand there are a lot of questions pending. Please forward this to Daniel and his team. They're all available to answer the rest of the questions. And I wish you all the best for 2014 and look forward to seeing you or talking to you during our March Investors Day. Thank you very much.